Ivan Vella: Thank you. Good morning, everyone. Welcome. My first annual results release with IGO, so it's a good moment. Kath is with me again today and so she'll be available to cover any questions when we get to Q&A. Got a few things to cover first. We'll keep it pretty short and sharp and then jump into the questions. I guess, obviously, this morning we've just put out our FY '24 results, all the other suite of disclosures. And I think one of the pieces that I really reflect on positively was the sustainability report. Very substantial report. Really covers a lot about who we are as IGO and how we approach the business of mining, and that's something that a lot of work went into. So I hope you get value from that. The team put a huge effort into bringing all of this together. So I also want to recognize and call them out. [Bec Gordon], who's our new Company Secretary, sitting across from me and she's just coming to the business and sort of picked up this work and worked night and day with a few of our colleagues to get everything ready. Look, obviously, last month we went through our quarterly and that covered the results up to the end of the year. So there's a lot of that that's already in your hands. We won't cover that in any depth. And in terms of strategy, we've got the 12th of September locked in for a session to walk through our thinking there. I put -- we put a slide in the deck today, and there's a little bit in the annual report, but I don't intend to drive into it too far. I'd rather take the time to go through that in a thoughtful way on the 12th and make sure we put the full context around our thinking, and then go into the questions and look forward to your reflections and feedback in a few weeks' time. If I reflect back on 2024, and I've seen just over half of it in this role, it's been a period of significant change across the board. Obviously, the markets have moved a lot in that period. Equally, our business has changed a lot, and we've had to deal with a lot of challenges, a shift in our portfolio, Cosmos, and working through that care and maintenance decision was difficult. On the other side, we've also got some renewed leadership, which I'm very excited about. Murray and Brett have just started and Cameron Wilson's acting in the Chief Legal Officer role. So there's plenty happening. We've been working through a number of other changes, which I'll cover in a minute, inside the business. And all of this helps us prepare us for our next chapter. While we've had a number of challenges, I think there's also quite a bit of progress that we should reflect on over the last year. And the first key callout is safety. While I still believe there's a lot to do, and I think through our business there's a real dedication to shifting our performance and really ingraining a much deeper level of safety performance through our operations. The shift down to a TRIFR of 10.4 is absolutely something we should call out, and it's great momentum and something we can carry into this financial year and continue that improvement. That depends on good leadership and good engagement across our workforce, and that's a key focus for me. Beyond that, I guess first on Greenbushes, despite a lot of volatility and a lot of different pressures on the business, Greenbushes has performed again and produced just under 1.4 million tonnes with fantastic production costs of $330 a tonne, just an amazing asset continuing to perform and plenty of opportunity beyond that, which we'll come back to. I think the EBITDA average through the year up 85%. I mean you kind of read it and go -- I said to Richard, "Is that right? Can we double check that number?" It's one of those things that you do a double take on. Yes, okay, the market is at a low point now. But this is a business that just produces wonderful outcomes right through the cycle. The -- I guess the next point to cover is Kwinana, and look, there's plenty of challenges the team are working through there. I've been very impressed with the work they're doing in a methodical way to address those. And I think the results, particularly in the last 6 to 8 months have been notable. They've really stabilized the production, they're understanding the asset much better and delivering good outcomes. And so overall for the year, a good improvement. And we recognize there's still plenty more to do, but they're on the right track there. We're continuing to work with TLEA and the team at Kwinana to provide whatever support we can as they continue that ramp-up. On to our nickel business. Look, Nova and Forrestania have generated strong free cash flow through the year, $331 million despite a lot of challenges. And obviously, the market and the broader industry has been under a lot of pressure. Obviously, the bulk of that is Nova, and it just shines out just what a fantastic asset it is, absolutely Tier 1 in the nickel space. I've mentioned Cosmos and moving that to care and maintenance. So a sad moment to do that. And our team handled that very well with the people managing those impacts. We continue to study that resource and the broader part of the business in a very practical and methodical way, and we'll look for what opportunities we can to extract more value from it, but that's also work ahead. And then look, beyond that, we've been doing more work, as I said, to prepare ourselves for that next chapter. A very detailed review of our exploration business with an objective to leverage that enormous capability that we've got in our business, huge technical capability, very extensive tenement portfolio. We are refocusing the approach. We are reducing the budget or the investment that we make in that area, and we've got a very strong focus on driving commercial outcomes from that part of the business. I have absolute conviction around our exploration business. And I think it's fundamental, being in the critical minerals and battery minerals, business to have capability there that helps surface and bring more commodities to the market. And obviously the value uplift we can generate for our business is significant. And lastly, we've reshaped the corporate team and our operating model. That's in implementation as we speak. It's very sad seeing people leave the business, particularly people who've got a deep connection with IGO. And while they're talented people which I'm sure will find other jobs very quickly, that doesn't take away the pain and the challenge that creates across our team. It's been a very difficult period in the last couple of months, but all important work to get through. And as I said, all about preparing ourselves for that next chapter. And of course, that brings to the last piece, which is the strategy which we'll release in a couple of weeks' time. That sort of sets out that pathway looking forward and gives us a foundation to realign this team, refocus ourselves. As you'll have seen in the slides, which I'll get to in a minute, it's not a huge pivot, but does give us a very tangible foundation to rebuild around. Before I get to that, just quickly on the financials. Look, we obviously are in a strong position to move into this next chapter. We generated some good cash through the year. We've got great assets in Greenbushes and Nova. I recognize that Nova has only got a few years to go, but that's not something that drives an agenda for me or the team. It's something that we want to manage extremely well, be proud of the work that we're doing there, learn everything we can, deliver the best safe production reliable cash from it that we can and not get caught up on the timing. The work at Greenbushes will be ongoing to help support the partners and Talison there in their work to optimize and continue to grow and improve that business. The underlying NPAT of $319 million, I think, speaks to the performance of this business and a strong balance sheet with $468 million in the bank. That takes us to shareholder returns, and last year Kath helped pull together this capital management framework. And it's something that I actually asked about when I first joined, it's very important for me that we're clear on this piece. I like it. I think it's great. Obviously, it's all about applying it in a very disciplined manner, and I think today is an example of that. We've declared, with the Board approving, a $0.26 final dividend, $0.37 for the year, which is about $280 million. I think that's a measure of the quality of our earnings and performance of our business and our view on its strength looking forward and obviously the strength of the balance sheet. And for me, it's very important that we are very disciplined in the way that we follow our capital management framework, our dividend policy and return that money to our shareholders. In terms of the strategy update, as I said, I wasn't going to go into a lot of depth there. We put in a bit of a teaser here, a couple of key messages. I mean, I think the first key point is that our purpose [indiscernible]. We're very clear on that. And that's one of the reasons -- key reasons that I joined IGO. The focus around battery materials, we believe, is fundamental and something that offers a lot of opportunity through the energy transition. There is a lot of nuance and specifics there, of course, and we've talked about lithium and at least one other commodity. Naturally, we're looking at the big value pools. I won't get into the details at this point. But there's a focus around that purpose and then how we bring that to life. What you'll see when we come to it is a lot more depth in terms of how we think about these markets and how we think we want to be positioned to invest and to drive benefit from them. Equally, we're also clear about the actions that are in front of us right now. And I think that's where our energy goes. If you're thinking about short-term work, it's about Greenbushes, it's about Nova and it's about Kwinana, and making sure that we're doing our best to drive value from those assets. I won't say too much more at this point. We'll pick this up when we meet and talk through the strategy in a couple of weeks. Beyond that, the next slide, I think, just talks about the work that we've done over the last 12 months and particularly over the last 8 or so months, and I've already mentioned the improvement on our safety. I think that's a first step and there's still plenty to do. The review of our exploration business is something that's ongoing, but I'm really proud of the work the team is doing there. It's difficult. It's a big change for the team, a lot of impact, but we're very focused on driving a lot of value from that part of our business. Reshaping our corporate team, I've talked about. As I mentioned, Brett and Maria have both started. I think Maria is week 3 and Brett's, I think, about week 6. So they're very new, but coming up to speed really fast and having a huge impact. So that's been very exciting. Cameron just started just over a week ago, and so that's been fabulous. Our balance sheet, as I mentioned, is in great shape, and we refinanced the debt facility. While that's a small point in one sense, equally it was a really well-run piece of work by the finance team, and I think the reflections we heard back from the banks just shows the confidence they have in our business and our cash generation. And then, look, probably the last point I've talked about was Cosmos, I think, making that call. And beyond that, then, we've gone through, obviously, our assets, our exploration portfolio, made a number of impairments. That's affected our NPAT on a headline basis, but I think it's a bit about just going through and making sure that our business is well positioned for the future. Looking forward, I've talked about safety and our continuing work there. I've talked about our work to support the partners and Talison to drive optimal value from Greenbushes. That's a huge area of focus. And the work at Kwinana, working with Tianqi, they bring deep capability to that. And I'm so pleased that we've partnered with such a preeminent player in the lithium market. The opportunity that Kwinana presents is significant. It has had a lot of challenges in that ramp-up, but they're making progress and I'm really encouraged to see how the shutdown plays out in -- later this year. I talked about Nova, and that's with Forrestania coming to an end. In fact, a matter of weeks now, we'll stop mining and processing ore at Forrestania. That's a mine that's been there for a long time. So it's a sad moment, but equally that's part of the life cycle of mining. We announced the MOU with Medallion Metals. So we're working through that to see if there's a pathway to drive more benefit from those assets, and that's work that's ongoing. Ultimately, we just want to make sure that we get the best outcome from what's been a very good mine over more than 2 decades, and that we -- from a closure and rehabilitation point of view, that's done in a very, very professional manner and a good example for other mines to follow. And then lastly, I think the strategy, while we'll announce it, equally we've already started the work in terms of execution. And obviously, there's a lot of work as we align our entire business around it. For me, strategy, 20% is the deep thinking, 20% is the decisions, the hard decisions you take and the conviction that you have, and 60% is execution. And so we're very clear that's an important focus for us. And we'll align the whole business around that, communicate that very widely and then push on with a lot of focus and a real sense of urgency to get into that work. Look, those are the key messages I wanted to cover. With that, I think that's probably a record for me in my opening, 15 minutes. So hopefully, that's helpful. We'll open up for some Q&A.
Operator: [Operator Instructions] Your first question comes from Hugo Nicolaci with Goldman Sachs.
Hugo Nicolaci: Thanks for the call this morning. Just two for me if I can, the first one just around capital, just quickly a clarification, Kath, just on the JV balance sheet. Can you just confirm how much debt and leases you had at the TLEA level? Just trying to reconcile, your reporting to the JV partners implies this should be something north of about $60 million there?
Kathleen Bozanic: You'll see in the financial statements, there's a note that includes a summary of the balance sheet and profit and loss for TLEA joint venture, and I'd refer you to that. I think it's Note 25. If you read that in conjunction with the publicly announced financial statements in March and April for Talison and the rest, you can actually back-calculate those numbers. I think it's pretty easy to get to those numbers.
Hugo Nicolaci: Great. And then just a second part then on the broader liquidity piece. I mean, IGO has corporate liquidity now of close to $1.2 billion after the dividend payout. How should we think about that going forward? I mean I appreciate obviously part in discussion around the strategy that we'll get in a couple of weeks. But I guess looking at the last couple of halves, there's kind of paid out a dividend to sort of get to that $1 billion liquidity level. Is that how we should think about it going forward, or should we maybe think about keeping more cash for other opportunities that emerge from here?
Ivan Vella: Hugo, it's a great question. And as I talked about our capital allocation framework, that's, I guess, the basis on which we think about the business and make decisions. We paid out on our policy the 40% or thereabouts. And we feel that in the current market environment, that's an example or an indication of our confidence in the business and the assets that we've got. We have to balance, obviously, the prudence of where this market goes, and that's a bit of a crystal ball game at the moment on lithium. So I actually think it's showing that we've been prudent and so forth. But equally, we have a lot of confidence in our underlying cash generation and the assets that we're involved in. Not something I think you need to read as where we're holding money back for some other plans. It is just returning money to shareholders and finding that right balance point. If you look at the forward market, there's still a lot of uncertainty.
Hugo Nicolaci: Got it. And then just one more if I can. Just quickly picking up on the comments around a new strategic direction in the release. Again, no doubt a conversation in a couple of weeks, but can you confirm whether we should expect any significant divergence from the current strategy around future-facing commodities and battery materials, which has historically been lithium, nickel and copper, or would you look to bring other things like gold or other commodities back into the portfolio?
Ivan Vella: Yes, I'm happy to cover that one really quickly, because it's an easy answer. So no, it's very much about battery materials, and gold is not one of them. Unless you're counting electronics, which is not a big point of consumption. No. So we're not changing tack here. This is very much about our focus on battery materials. We believe strongly in that segment. And the 3 big value pools you called out, of course, are in focus for us. They are clearly the biggest areas of opportunity in that space.
Operator: Your next question comes from Levi Spry with UBS.
Levi Spry: I guess maybe just expanding a little bit on the shareholder return slide. The dividend was a pretty significant beat. And in the context of the strategy unveiling upcoming and maybe the matrix you present there on Slide 4 being based on when the business is in a slightly different position, can you sort of talk to what the Board -- how the Board was thinking about that given, hopefully, we'll get fed a bit more new information in a fortnight?
Ivan Vella: Yes. I don't want to dive in too far because I think without the context that it's -- we're sort of doing -- covering half the story on the strategy. But I think the message is we've got a great business that generates cash and [indiscernible] returns through the cycle. We're going to return those -- we'll make those returns back to our shareholders following our policy, which we've done. We have a lot of confidence in it. We're not meaning to do anything new or different. We're clear on where we're headed. And the first, I guess, call order or focus for us is building on the assets that we've got. And naturally, contributing towards Greenbushes and helping support the team to lift and optimize that asset is going to drive the best possible capital outcomes that we could imagine working through Kwinana and making the most of Nova. But with a payout at 40%, I think that it's pretty solid recognition or position around the strength of our business and our balance sheet.
Levi Spry: Yes. Okay. Look forward to a couple of weeks' time. And maybe a simpler one. I'm sure it's in the notes there somewhere, but just in terms of the exploration write-downs, can you just sort of run through what's left -- on the balance sheet?
Ivan Vella: Yes. I mean you could pull out the exact numbers, but obviously we've got tenement right across Australia. Certainly Western Australia, Northern Territory, South Australia, a very significant portfolio there. And all at different stages, so to sit and try and pull that apart right now is probably not something I could do. But we're not holding -- I don't know if you know the number off the top of your head there? You're on mute...
Kathleen Bozanic: I think it's about $170 million, $180 million that we've still got.
Ivan Vella: Yes. On the balance sheet, yes.
Kathleen Bozanic: And it is a mix of various acquisitions that we did over a extended period of time, including some of the Western areas assets are still in there because we continue to explore and...
Ivan Vella: But all the big pieces have actually been written down. I think things like [indiscernible] and Silver Knight and so on. So it's pretty tidy [indiscernible] on the books. I think obviously the prospectivity of that ground we have a lot of confidence in, and the team are working through that. But it's not like there's something else material sitting there that we're expecting -- sitting on the wire or likely to create some major change for us in the future.
Operator: Your next question comes from Matthew Frydman with MST Financial.
Matthew Frydman: My question doesn't specifically relate to your financials, so apologies for that. But on CGP3, can you remind me of the timing of completion and ramp-up for that project? When you're expecting it to start to contribute to production? Was there anything in FY '25 guidance, for example, for CGP3? And then I guess more broadly, how do you think about when the JV needs to make a decision on how to ramp up that project, particularly, I guess, given the market backdrop. And obviously, I'm asking that in the context of the last time that Talison finished a CGP plant in a fairly soft market. Obviously, the decision was made to not turn it on right away. So wondering if you had any thoughts around that.
Ivan Vella: Okay. Thanks, Matthew. Look, the first -- I mean, I think the simplest way to answer the question is that it's not in FY '25 guidance. It's all post that. I think we've indicated previously that it's due to start in Q3 of next calendar year. Beyond that, we haven't provided any further details and that's all I'd say at this point. Beyond that, it's a decision for the joint venture to work through.
Matthew Frydman: Okay. And then maybe just quickly on the combined financials that you presented that you were talking to earlier, Kath. Is it right to assume that there's a couple of hundred million dollars in receivables there sitting at the Windfield level related to those spodumene shipments in FY '24? Is that a factor that we need to be considering as well?
Kathleen Bozanic: So you need to look at our financial statements, and in terms of the TLEA joint venture, we actually equity account for it. So it's not in the primary statements for us. It's actually an investment. If you look at that Note 25, it will give you a little bit more detail. But you are correct, there are receivables there for those extra tonnes because of the payment terms.
Operator: Your next question comes from Daniel Morgan with Barrenjoey.
Daniel Barrenjoey: Just on the exploration portfolio and the shift in strategy there. Just wondering what your plans are, if any, on monetization of this extensive portfolio and if you could just expand on that at all.
Ivan Vella: Okay. Thanks, Daniel. Look, we we'll talk more on the strategy around this. The -- I think the first point is we've got a great portfolio. It covers BCM, copper and nickel. Of course, there's other bits and pieces in there, but it certainly covers those 3 commodities. If there are pieces of that portfolio that are at various stages of the pipeline, if you think about that, you can appreciate some -- in some cases, it can take years just to get on the ground and get access and then years before you actually get down to targets. So we've got things at all stages. We're very excited about some of the work the team is doing in the Northern Territory, for example, they're just starting to get onto the ground there after a lot work to get access and agreements and so on in place. And this is ground that's never been explored before. It's literally brand-new ground. So there's a lot going on. Now we're working through that portfolio and saying: what's its potential, where does that fit in terms of value for IGO, and are we partnered or positioned in the right way? We think about how that might play out from a resource point of view. And in some cases we're partnered, as you know, already with other mining companies or explorers as JVs on earning farm-in arrangements both ways. But equally, we're contemplating working with larger partners who might want to take benefit from our deep exploration expertise and obviously share the cost and risk accordingly. So those are all things that we're working through and trying to optimize how we allocate the funds or the envelope of investment around exploration. And then doing that also with a mind on timing and priority of resources. Lithium, nickel and copper each have very different dynamics from a commodity market point of view and how they might be brought to bear. So that's being taken into account as well. I've sort of talked around it broadly, to get to your specific question. Look, yes, in some cases we will consider selling or monetizing some of our portfolio where that makes sense, but we're doing this very thoughtfully given we've spent years building up a position. We want to make sure that we are targeting the value in the right way. And in some cases maybe it's better just to partner rather than selling something outright?
Daniel Barrenjoey: Okay. And then just a follow-up. Can you just remind us on the rough dates of the Kwinana shutdown and what the goals are in rectification during that shutdown?
Ivan Vella: Okay. So it slid out a little bit, but it's going to be early Q4 this year. And obviously, the intent is to deal with normal shutdown maintenance and just general asset health issues and normal work that's required plus a number of changes that help us lift the performance as part of that ramp-up. So that's -- it's an important milestone for us, and we're really looking forward to seeing the team successfully complete that work and then continue to ramp up beyond it.
Operator: Your next question comes from Tim Hoff with Canaccord.
Tim Hoff: I just wanted to ask around your -- on the Note 25 on the financial liabilities that includes lease liabilities. Is there much of a breakdown you can give on that lease liability number, or should we just assume that the vast majority of that's going to be the debt?
Kathleen Bozanic: Yes. I'll refer you to the Windfield accounts that were lodged I think, in April, and you'll be able to unpick that if you look at those accounts.
Tim Hoff: Yes, no worries. And just to confirm that there is no debt at the TLEA level? This is all Windfield debt?
Kathleen Bozanic: Correct.
Tim Hoff: And then perhaps the last question there is just that 5-year term. Is that a bullet payment at the end of that 5 years on that debt?
Kathleen Bozanic: Look, we don't comment on the commercial terms. If you have a look at that Note 25, it gives you a bit of an idea of what type of debt we've got there. So that will inform you.
Operator: Your next question comes from Jon Bishop with Jarden.
Jon Bishop: If I look at your recent accounts, your annual spend at head office and exploration has sort of been in the order of around $100 million to maybe upwards of $140 million a year. I understand this has been a recent focus for the business in terms of rationalization, but can you give us a steer as to the expected profile for these line items over the next few years as the optimization flows through?
Ivan Vella: John, look, we've given you guidance on the exploration, the stepdown there, and we've said guided to sort of $50 million to $60 million this year and a run rate below $50 million from the next financial year onwards. We haven't guided or indicated on the corporate expenses and I won't go into it further at this point. I think -- as we've said, we are in the process of reducing that corporate cost, and from multiple angles there's an impact on our people. So I'm sensitive to that, and we'll obviously share more on that, that will come through in our accounts in due course. But I think the takeaway is we've got a focus on that. We know that we need to make sure that our business is set up for the future, but it's carrying costs and resources for the current business as it stands today. What we don't want to do is be carrying extra resource or cost anticipating something down the track.
Jon Bishop: Okay. No, I appreciate that, and apologies for the sensitivity there. And just one on Cosmos. Obviously it's a work in progress around understanding that asset better and optimizing, perhaps, it from a sales perspective. Are you able to give us an understanding as to what sort of time frame you might consider around a formal sales process for that asset?
Ivan Vella: Yes. So I mean Cosmos is not for sale. That's not sort of the message I wanted to send. And at this point, we are in the process of better understanding the resource. And that's -- that involves a lot of work going back through all the existing data for that tenement and that old mine, equally some more drilling underground to better understand areas that have not been tested before. All of that information will come together as part of a study to determine if there's an economic pathway for us to take Cosmos forward. So that's work that's in flight right now, and we should start seeing results from that by the end of the year. I won't promise you an answer then, but let's see where the team gets to. I suspect in Q1 we'll be in a better position to comment on the pathway and what we think the future might be. I've said previously the focus is on cost, not on what the incentive price is to bring it back online. It really is about making sure that we can get the cost down and the mining technique will be part of that, how we think about that part of the ore body. The other thing that we're also doing is looking at the tenements that we have in that area. They are very prospective and not just for nickel. And we're looking hard at that to say, well, what else -- what other value could we extract in that region? So all of that, I think, will be the subject to future updates.
Operator: Your next question comes from Alex [indiscernible] with Citi.
Unidentified Analyst: Should we read into the 2H dividend that Kwinana Train 2 spending is less likely in the short term? And can you remind us when can we expect a decision around Train 2 FEED?
Ivan Vella: Yes. Look, I don't think you should tie the dividend to any other major capital allocation at this point. This is a bit about following our dividend policy. The liquidity is in place. So we paid out the full 40%. The work on the Train 2 and the FEED is ongoing. That decision is not in front of us yet. When that comes and when we have a full set of information to stand back and look at, then we'll look at, obviously, the funding and the capital requirements behind it to make that call, but I wouldn't be reading into these things or linking them at this point.
Unidentified Analyst: Yes. Okay. And in the deck there's comments around supporting partners in optimizing value at Greenbushes. So what does that mean if you're the minority there? And when can we expect medium-term costs and production?
Ivan Vella: Look, we -- obviously, Greenbushes as an asset is owned by -- through a joint venture between Albemarle and Tianqi Lithium Energy Australia. So those 2 parties have the ownership, we're a party to TLEA. And through that joint venture, obviously we want to contribute and bring whatever capability we can to help Greenbushes to perform and to be optimized. So I guess that's the message around working with our partners. And in terms of the optimization and the potential there, I think every large-scale mine that I've ever seen in my career has plenty of upside and opportunity. Greenbushes is no different. It's grown extremely rapidly over the last decade. And I guess we want to make sure that we're getting the very best returns and outcomes from it. It's a critical asset in the world of lithium. And so we'll continue to bring our capabilities, skills and experience to that partnership to help with that optimization. In terms of specific guidance, we've put out what we can for FY '25, and that's all we can offer at this point.
Unidentified Analyst: Just to follow up on that. So will we get any further outlook at the Strategy Day on Greenbushes?
Ivan Vella: No, nothing more specific at this point, no.
Operator: Your next question comes from Rob Stein with Macquarie.
Rob Stein: Just I guess a bit of direction around Greenbushes products, its demand. And you would have seen, obviously, comments from some competitors around scaling back production, some competitors you're in JVs with -- can you just provide us a bit of an indication around how Greenbushes is impacted in this new world, whether there's still solid demand for that higher grade product and how that informs mine planning?
Ivan Vella: Rob, look, great question. I can't speak for obviously the product going to Tianqi and Albemarle and their businesses and their situation. All I can say is obviously Greenbushes is a great asset. It produces very low-cost spodumene concentrate, and that drives a lot of value for all of the joint venture partners. In terms of the market looking forward, your crystal ball is as good as mine. I think it's a great asset. It produces high-quality, very -- very sought after concentrate and the rest is up to Tianqi in terms of how their businesses pull that through and how they're managing their situation in the market.
Rob Stein: Maybe if I can just probe a little bit. If you look at Albemarle, its decision to sort of scale back Kemerton, you look at what's happening with Wodgina, and then you're looking at potentially funneling through excess production units or allowance by Greenbushes, like how confident are you that the production capacity of Greenbushes might be impacted? And then I guess, to the other point, are you seeing premiums in the market now for Greenbushes product that sort of sit above what the PRAs are reporting?
Ivan Vella: Well, again, you've got -- that's a question for Albemarle, Rob. Can't speak to their business and their decisions. All I can say is Greenbushes produces a great concentrate. It's very valuable for the partnership, and that's our perspective on it. In terms of the PRAs and pricing, again, I can't really get into that. I mean what they are that based off the number of transactions and the level of liquidity in the market that they have, and that's the basis for our pricing formula. So I'm sure that will mature and improve as the whole market improves. But for us that's the foundation, and that's what we work off.
Operator: There are no further questions at this time. I'll now hand back to Mr. Vella for closing remarks.
Ivan Vella: Okay. Thank you. Look, short call, which is good. Hopefully we covered what you need. As I said, there wasn't -- there's not a lot of new news since our last quarterly. I'm sure you'll pore through the reports, and we'll pick up more questions down the track. I'm very excited about the strategy on the 12th of September. So I look forward to talking more with many of you at that point and getting your feedback and reflections. It is the beginning of that next chapter for our business, and we've got a lot of opportunities in front of us. So I look forward to that. Thanks again for your time and support. And I guess right through FY '24, thanks for helping support me and the questions as we've got through the last 8 months. We'll talk more soon. Thank you.